Operator: Good day, ladies and gentlemen, and welcome to the Airtel Africa Full Year Results for Year ended March 2025. [Operator Instructions] Please note that this call is being recorded. I would now like to turn the conference over to Sunil Taldar. Please go ahead.
Sunil Taldar: Thank you. Hello, everyone, and thank you all for joining us today. I have with me Jaideep, our CFO; Kamal Dua, our Deputy CFO; and Alastair, who heads -- who is the Head of Investor Relations. Let me give you some brief highlights over the last year before running through our refreshed strategy, which has been deployed across the organization, provide some context to the markets we operate in and give you -- give a brief run-through of how these factors have contributed to a strong performance during the year. After that, I will hand over to Jaideep to run through financials. Over the year, we faced continued uncertainty in the economic and operating environment. But more recently, it has been encouraging to see some easing of this volatility in our markets. However, we've been consistent in our focus on deploying our refreshed strategy, which really puts the customer experience at the top of the list. In addition to our strategic focus, what has been apparent across our business over the last few years is the essential nature of our services. Our customers have significant challenges in many of our markets, but demand for our services has remained strong. It is this that has contributed to some strong trends over the course of the year with constant currency revenue growth accelerating to over 23% in quarter 4, from 19% in quarter 1. This, combined with the launch of a cost efficiency program has helped deliver -- or drive EBITDA margins higher, reaching 47.3% in the final quarter, a strong recovery from Q1 levels, and we continue to retain our position as an industry leader in terms of operating efficiencies. Importantly, our focus on derisking the balance sheet has enabled not only continued investments in our network to sustain our growth, but has also provided the foundation to continue returning cash to shareholders. Over the last 5 years, we've returned over $1.1 billion to shareholders, which continues to reflect a strong track record despite macroeconomic volatility. Importantly, we remain well-positioned to deliver on not only the opportunity in our existing products and services, but also in our ability to capture the strong growth potential in other new services, particularly in the enterprise space. Our purpose is to transform life across Africa by bridging the digital divide and drive financial inclusion through the continued rollout of our mobile money services. Over the year, we have been -- we have seen smart phone penetration rise by over 4 percentage points, as demand for data services drives increased digital inclusion. Furthermore, a 17.3% growth in mobile money customers, and a 32% increase in transaction value in constant currency on Airtel Money platform highlights our success in driving financial inclusion across our markets. Being a business that is resistant to challenging operating environment has ensured that we continue to capture the growth opportunity available to us. This has been reflected not only this year where we've seen a strong acceleration in revenue growth, but also over the last 5 years, we have consistently reported double-digit constant currency growth with revenues growing at a CAGR of over 19% and industry-leading EBITDA margins. Earlier this year, we launched a comprehensive cost efficiency program, targeting structural ongoing efficiencies, which will not impact our growth ambitions. We are seeing clear progress with EBITDA margins expanding 200 basis points between quarter 1 and quarter 4 and revenue growth accelerating at the same time. We remain optimistic on our ability to realize further efficiencies. Over the year, we have continued investing in capacity and coverage, with further site expansion and fiber network rollout supporting our ambition to expand coverage and capacity to drive a great customer experience. In addition, we have materially reduced our exposure to dollar debt, with 93% of market debt based in local currency, which is up from 83% a year ago. The overall performance across the group has enabled the Board to reiterate its existing dividend policy with a further 9% increase in our final dividend. Move to the next slide. This slide serves as a reminder of how our operating environment has improved over the course of the year. We've seen accelerating trends in key operating performance metrics as well as financial metrics. From an operational perspective, the focus on our strategy around getting closer to our customers and focusing on expanding our network has resulted in a step-up in customer additions and smartphone take up, with a further acceleration in data ARPU growth to 17% in constant currency in the second half of the year. For mobile money, we have seen transaction value also increased in the second half, as the expansion of our use cases and continued customer adoption drives strong operating performance. Finally, this has resulted into strong financial performance with accelerating growth in revenues and continued cost optimization driving a sequential increase in EBITDA margins throughout the year. Let me now spend a few minutes explaining the significant opportunities across our markets and how our refreshed strategy will enable us to continue executing on this opportunity. The one thing that my travels across the region has confirmed is the scale of the opportunity across our footprint. From a high level, we have a population of over 660 million people, which is expected to grow to -- by around 3% every year. The opportunity is compounded by how young this population is, giving us a unique opportunity to continue growing our customer base. In addition, given the low levels of smartphone penetration, the opportunity for growth in data services is unparalleled and is expected to continue to be in the foundation for further growth. In addition, we have a unique ability to also offer financial services to our customers driving increased financial inclusion. As many of you are aware, over 90% of all transactions in Africa are cash-based, and our unique distribution network will enable us to capture a significant share of these transactions that inevitably both traditional platforms. However, the opportunity is not only in consumer, the B2B or enterprise segments offers a particularly encouraging avenue for growth, and we're actively working on capturing this demand as the digital infrastructure across the continent evolves. To execute against this exciting opportunity, we refreshed our strategy to highlight how we intend to maximize our right to win across the continent. The primary focus of this refreshed strategy is to ensure a great customer experience. By embedding this in our mindset and our day-to-day operations, I believe we can truly differentiate ourselves from our competition. Firstly, we must strengthen our go-to-market, which is essentially our ability to differentiate through a superior distribution network, enabling us to reach those previously may have been unconnected. Secondly, our brilliant network experience is fundamental to ensuring our customers remain connected, and in many cases, can access and network for the first time, as we continue to invest in network capacity and coverage across our footprint. There are also clusters of opportunity which have been identified across the OpCos, which have been called out as must-win markets. Through micro marketing using network and digital tools, we can strengthen our presence in these clusters. In the fourth pillar, we focus on the importance of digitizing and simplifying our product offerings to provide simplicity to the customer journey. And we continue to migrate towards the digital age. The importance of simplifying the customer journey will always be increasingly important to accelerate customer acquisition, but also improve customer retention. Airtel Money remains a fundamental part of our strategy and is key to our ambitious -- ambitions across the footprint. Accelerating the adoption of Airtel Money not only improves our customer proposition, but also has the additional benefit of driving improved financial inclusion. And finally, our sixth pillar reflects the significance of the adjacent sectors across our markets, which remain untapped. Our infrastructure across the continent also provides us with a unique opportunity to offer a full integrated suite of offerings to the enterprise segment and enhance our customer proposition with an HBB offering. Underpinning the strategy is the relentless focus on cost optimization to support our ambition for growth and a continued investment into people and talent across the region. Our sustainability strategy remains a key support for our purpose of transforming lives and acting as a responsible business. In the context of -- in the next few slides, I want to reflect on how our strategy has supported the continued momentum we have seen in both the operating and financial aspects of the telecom business, as well as the mobile money business. Starting off with the mobile services. Our go-to-market strategy has been key in getting closer to our customers. We continue to invest in increasing the number of customer touchpoints to reduce friction, so we can upsell our existing customers to enhance lifetime value. This has also been supported by our digitalization strategy through the continued focus on our app to make it easier for our customers to recharge, sign up to new services. This, combined with our sustained network investment has contributed to the continued expansion of the customer base with a particularly encouraging growth in smartphone customers across network. In this slide, we look at how this operating performance has translated into strong results. As a result of the very strong demand for both voice and data services, the usage across our network continues to grow. One area that makes us unique is the continued growth in voice minutes as many customers use our services for the first time. Data usage per customer also continues to grow and is now at 7 GB per month, which remains well below some of the global peer group. The result is data traffic across our network increasing by over 47% during the year. This strong demand and our investment into the network to support this demand has resulted in an accelerating growth in constant currency to 19.6% in the year, and almost 22.4% in quarter 4. However, it is worth noting that for the last 5 years, we have consistently seen strong growth in both revenues and EBITDA of our mobile services division. In fact, on a 5-year basis, revenue and EBITDA CAGR has been 17.5% and 20.5%, respectively, in constant currency. It is this track record that I believe sets us apart in the telecom industry. Now moving on to mobile money business. Mobile money services is all about driving increased financial inclusion across our markets. Low levels of financial inclusion has been one key reason for the consistent customer base growth. The facilitator of this growth is not only our agent network, but also the partnership we have with the GSM business, which has enabled customers -- which has enabled customer uptake. We have seen strong success in penetrating the GSM customer base, but with only 27% of our customers using Airtel Money, the opportunity remains substantial. We've also seen great momentum in the take up of the My Airtel App for customers, merchants and agents, which simplify the customer journey and drives improved functionality. It has also been reinforced by the trust that has been built up through the provision of easy-to-use services, with a focus on float availability, so customers can access their cash with relative ease, as and when they need it. Airtel Money is very well positioned in a dynamic and rapidly expanding ecosystem that is digitizing cash-based economies and advancing financial inclusion. We continue to expand the use cases to meet the diverse needs of individuals and businesses, from deposits and withdrawals to merchant payments, enterprise and customer-centric financial solutions. Slide 12 demonstrates the continuing evolution of our mobile money ecosystem with transaction value of $136 billion in reported currency. We have seen the makeup of transactions shift towards newer, more advanced services such as bill pay and merchant services, as the ecosystem continues to grow. Once again, this success has translated into strong financial momentum with constant currency revenue growth of almost 30%, translating into revenues of approximately $1 billion, with an EBITDA margin of 52.8%. Once more, the track record speaks for itself, over the last 5 years, we have consistently seen very strong revenue and EBITDA CAGR growth of well over 30%, reflecting the very strong momentum in the business. Let me now briefly call out the key conclusion from our recent performance in Nigeria region. Demand for our services in Nigeria has been maintained, and this has translated into strong revenue growth momentum, despite the impact of barring of customers following the KYC directives issued by the regulator. Revenue growth accelerated in the last quarter to over 40%, partly reflecting the tariff adjustment that we were -- that were implemented. But for the year, we are encouraged by the constant currency growth of 36.7%. EBITDA margins of 49.7% have been particularly impacted by the increase in diesel prices over the last year. However, we have seen sequential improvement in margins over the last quarter, with EBITDA margins of 52.6% in quarter 4, reflecting a strong focus on cost initiatives and strong revenue growth. East Africa -- in East Africa trends remained strong with constant currency revenue growth of 21.8%. In quarter 4, constant currency revenue growth of 20.7% translated into a reported currency growth of 22.6% as currency headwinds eased, with Uganda and Kenya seeing currency appreciation versus a year ago. Data trends also remain encouraging with over 26% growth in data revenues, driven by continued demand across the region. Despite the inflationary pressures on the cost base from rising diesel costs, the EBITDA margins remained stable over the period. Moving on to Francophone. The performance in the Francophone region has been very encouraged. Despite continued pressures from inflation, we have seen growth accelerate sharply during the year as our continued focus on growing our customer base has translated into strong financial momentum. In quarter 1, constant currency revenue growth in Francophone region was 5.2%. But through our continued focus on our strategy and easing macro and political headwinds, we've seen growth accelerate to 13.7% in quarter 4. This improved revenue performance supported a continued improvement in EBITDA margins during the year with quarter 4 EBITDA margins up 105 basis points over the year. Growth of the enterprise segment and the scale of the SME sector provides a unique opportunity for us to tailor our services towards the ever-evolving needs of the enterprise segment. The recent activation of 2Africa submarine cable, which combined with our fiber footprint of almost 80,000 kilometers across the continent, enables us to offer reliable, resilient capacity to our existing corporate customers, whilst also attracting new customers to offer a unique service at scale across the continent. In addition, the ability to leverage our strong network presence and the continued investment into 4G and 5G services provides us with a unique opportunity to offer home broadband services to our customer base. The enterprise and HBB offerings provides us with an additional lever for growth in future years, and we continue to invest in order to capture this opportunity in the future. In conclusion, hopefully, this summarizes our position across the market and reflects our track record and execution against the opportunity we have across Africa. Importantly, we believe in our strategy and the execution of this strategy is integral to capture in these opportunities. Let me now hand over to Jaideep, to run through financials.
Jaideep Paul: Thank you, Sunil, and good afternoon to all of you. Let me start with the key financial highlights. Our revenue in reported currency at $4.95 billion and the full year growth has been impacted by severe currency devaluation, especially in Nigeria in FY '24, while quarter 4 reported currency revenue growth has been recorded at 17.8%. As you were aware, Nigeria witnessed the most significant devaluation in FY '24, naira devalued from NGN 461 $1 in March '23 to NGN 1,303 in March '25 -- sorry, March '24 and further to NGN 1,542 in March '25. Currently, naira has been, by and large, stable at around NGN 1,550 to NGN 1,600 $1. We continue to deliver good underlying results despite these currency headwinds, which we faced over the last 12 to 18 months. Revenue growth for the full year was above 21% in constant currency, which accelerated to 23.2% in quarter 4, partially benefiting from the tariff adjustment in Nigeria. EBITDA in reported currency at $2.3 billion declined by 5.1%, due to cascading impact of currency devaluation and inflation witnessed in prior year. However, in constant currency, the EBITDA grew by 18%. The EBITDA margin for the full year at 46.5%, declined by 120 basis points in constant currency. However, as we realize the benefit from the cost efficiency initiatives, along with relatively stable macroeconomic environment in the current year, margins have expanded from 45.3% in quarter 1 to 47.3% in quarter 4. Constant currency margin for the quarter 4 was 47.5%. Our $670 million CapEx investment was below guidance due to deferral of the data center investment, especially in Nigeria. The operating free cash flow at $1.6 billion, declined 3.4%, largely due to lower reported currency EBITDA, partially offset by the lower CapEx. Leverage at 2.3x increased from 1.4x, reflected the additional impact of tower contract renewal on increasing lease liabilities. Lease adjusted leverage at 1x, up from 0.7x in the previous year. EPS before exceptional item at $0.082 was impacted due to translation impact of currency devaluation and impact of tower contract renewal. The Board has recommended a final dividend of $0.039 per share, thereby making a total dividend for FY '25 of $0.065 up 9.2% vis-a-vis last year in line with our current dividend policy. Next slide. This slide gives us an overview of our improved performance over the last 4 quarters. Revenue growth in constant currency continues to accelerate with 2% improvement to reach 23.2% in quarter 4, which also partially benefited from tariff adjustment in Nigeria. These revenue trends clearly demonstrate the strong demand of our services in the market we operate. We have seen a substantial improvement in EBITDA margin over the year, which improved from 45.3% in quarter 1 to 47.3% in quarter 4. This trend reflects the effectiveness of our ongoing cost efficiency program, along with a stable operating environment during the year. We continued our de-dollarization program to limit exposure to foreign currency-denominated debt. Over 93% of OpCo debt is now in local currency, which has marked improvement from 83% of last year. Coming to the next slide. The overall revenue growth was 21.1% in constant currency, while in reported currency revenue declined by 0.5%. And this chart gives you the idea that $923 million was the currency translation impact because of the devaluation. Reported revenue growth in current year was impacted because of that. However, in constant currency, the growth continued to be over 20%. And the fourth quarter reported currency revenue growth was 17.8%. All the key service segment grew double digit, while voice revenue up 11%, data and mobile money revenue up by 30% on a year-on-year basis. Next slide, the group absolute EBITDA declined by 5.1% in reported currency to $2.3 billion. However, in constant currency account, the EBITDA grew by over 18%. The adverse impact on EBITDA amounted to $493 million due to currency devaluation, primarily in Nigeria, mainly due to the cascading impact of currency devaluation and inflation witnessed in the previous year. Group EBITDA margin decreased by 228 basis points in reported currency, reaching 46.5% for the full year. In constant currency terms, the margin declined by 120 basis points. The steeper decline in reported currency margin was largely due to the lower contribution from Nigeria in the overall portfolio following significant naira devaluation. Out of $426 million increase in constant currency operating expense, $256 million was attributed to higher network cost with approximately 50% of the increase was driven by the rising fuel price in Nigeria and few other markets. We started the year with a lower margin of 45.3% in quarter 1, improved to 47.5%. Despite these challenges, our cost efficiency initiatives supported the margin improvement during the year, resulting in a 220-basis-point improvement in quarter 4. Our finance cost for the current year is $822 million compared to $1.7 billion of last year. Last year, our finance cost included a significant impact of $1.2 billion due to currency devaluation, which is $179 million in the current year. Excluding the ForEx and derivative losses, the finance cost has increased by $444 million last year to $643 million in the current year, which is roughly about $100 million -- $200 million increase. Last year had an impact of $1.2 billion on account of currency devaluation, which is $179 million in the current year. The $200 million increase in finance cost is primarily due to tower contract renewal and increased number of sites during the year, which contributed another $124 million, and an increase in the weighted average interest rate resulting in higher local currency debt due to the de-dollarization program. Coming to EPS. Basic EPS was $0.06 in current year as compared to negative $0.044 in previous year. Our EPS before exceptional item was $0.082 in current year as compared to $0.101 in the prior year. The current year EPS has been influenced by several factors, and $0.089 impact due to currency devaluation, $0.033 impact of interest and depreciation, higher interest and depreciation for the tower contract renewal, and approximately $0.02 impact from the higher finance cost, which is explained because of the local currency debt -- increase in local currency debt, which comes at a higher cost. These were partially offset by $0.045 increase due to the higher operating profit, corresponding benefit of $0.012 in the tax charge. Coming to normalized free cash flow. Our normalized free cash flow in the current year is $213 million as compared to $234 million of the last year. Reduction is largely due to decrease in reporting currency EBITDA, and the reason for that has already been explained. The bridge between EBITDA and normalized cash flow is largely contributed by cash tax of $323 million, payment towards CapEx of -- CapEx vendor of $736 million, cash interest of $644 million, lease payment of $222 million and intangible assets, which is basically renewal of license and spectrum of $123 million, resulting into normalized free cash flow of $213 million. Our capital allocation policy remains the same. Our key priority remains to continuously invest in the business along with further strengthening of the balance sheet. Our full year CapEx was $670 million, which is below our guidance due to our decision to defer investment in data center business in Nigeria. For the next year, our CapEx guidance is in between $725 million and $750 million as we continue to invest for future growth. The Nigeria data center work has already started in the current financial year and that $40 million, $50 million has been allocated to Nigeria data center for the next year. Our lease adjusted leverage was impacted due to translation impact of currency devaluation on reported currency EBITDA and higher lease adjusted net debt. Returning cash to shareholders through our progressive dividend policy remain as our -- one of the key priorities, the Board has recommended a final dividend of $0.039, making a total of $0.065 per share, reflecting a growth of 9.2%, in line with our current dividend policy. We completed the first share buyback program during the year, returning $100 million to the shareholder. The second buyback program of another $100 million was launched in 2 tranches, out of which a further $45 million has been returned to the shareholder, which was completed on 24th of April. The second tranche of balance $55 million out of the second share buyback program will be launched soon. We continue to focus on strengthening our balance sheet by firstly, reducing our foreign currency debt across OpCos. HoldCo debt is now 0 post repayment of bond in May '24. Secondly, OpCo local currency market debt increased by $650 million as we continue to execute on debt pushdown strategy. Over 93% of the OpCo debt in local currency, up from 83% a year ago. Leverage at 2.3x has increased from 1.4x compared to last year, primarily on account of increase in lease liabilities related to tower contract renewal and increase in market debt. These adjusted leverage at 1x increased from 0.7x in last year were primarily impacted by increase in the market debt by approximately $200 million. Continuous strong operational and financial performance has translated to the substantial return to our shareholders in the last few years. As mentioned earlier, we have returned over $1.1 billion in the last 5 years by way of dividends and share buyback program. Let me now hand over to Sunil for his concluding remarks.
Sunil Taldar: Thanks, Jaideep. Finally, on Slide 28, just a few words on summary and outlook. As you've seen from our results, our strategic focus has consistently driven positive momentum across the business and reflects our strong track record in execution. Key to delivering value to our stakeholders is to drive continued growth across our base. Our focus will remain on investing in our network and on further expanding our distribution to be closer to our customers, whilst at the same time, looking at new opportunities for growth. Over the last few years, there has been continued volatility in the macro environment. But more recently, we've seen some signs of stabilization, which is encouraging. Our ability to navigate these challenges while sustaining a strong track record in operational and financial performance, reflects our success in executing against this opportunity, and we will continue to do so. We will also remain focused on EBITDA margin improvements subject to macroeconomic stability. I know many of you will be wanting to get an update on the IPO of Airtel Money. We are making significant progress towards the IPO, and we remain committed to this objective. However, we are also mindful of the evolving capital market conditions, and therefore, subject to these market conditions, we anticipate an IPO in the first half of calendar year 2026. As many of you know, the IPO was part of the commitment with the minority investors when we sold a stake in 2021. It is worth noting, and I would like to underscore this, that the minority investors being members of the Board and the IPO Committee have been very involved in the discussions around the logic behind for delaying the IPO. And with that, I would like to thank you all for your attention today, and we would like -- we would now like to open the floor for questions.
Operator: [Operator Instructions]. The first question we have is from Cesar Tiron of Bank of America.
Cesar Tiron: I have three, if that's okay, but they're very easy. The first one, I wanted to check if the price hikes you've implemented in Nigeria were implemented, I think, in the second part of February, if I recall. So they've only impacted really Q1 numbers -- sorry, well, calendar year Q1 numbers for only 5 weeks. So therefore, should we expect that we will see a further reacceleration from the 40% that you've reported in the last quarter. That's the first one. The second one, in light of lower, potentially, fuel prices, right? I mean, which we've seen, does it also impact retail prices in Nigeria? And can you also remind us the sensitivity on your Nigerian margins? And then the third one, on the potential delay of the Airtel Money IPO. Could you please remind us the put and call agreements, I think it's puts agreements that you have with your partners and whether they have committed to not exercise the puts due to the delay, or if there's a risk that this puts can be exercised by the time of the IPO?
Sunil Taldar: Thank you very much for those questions. Let me first address your first question on Nigeria price adjustments. Firstly, we are grateful to the Nigerian authorities for the approvals that we received, which we see as supportive for the industry and support continued investments into digital infrastructure across Nigeria. With regards to the impact of these tariff adjustments on our business, the approvals are very clear -- are fairly very positive development and combined with the recent signs of macro stability, we expect a positive outcome to our business. Following these developments, we have noted -- we have implemented our tariff adjustments in the quarter, which partly contributed to an acceleration in revenue growth in quarter 4 -- financial year quarter 4 '25. Now we will remain vigilant around tariff adjustments that are made also by our competitors and be flexible in our approach to pricing. But there has been some benefit flowing through to the revenue and EBITDA line. Now with -- as a result, it's too early to conclude on the ultimate impact that this will have on our business, because, as you said, these price hikes have gone in the last 4 to 5 weeks of the last financial year. And very briefly touching on the question that you asked on the impact on customer. See, given the unprecedented circumstances, it is a little difficult to judge the impact -- the exact impact these tariff adjustments will have on the business in terms of growth acceleration. We have seen some impact definitely in quarter 4. Before the price adjustment, our business was growing in circa 34%, 35%, which accelerated to about 40% in quarter 4. However, having said that, we do see the -- with the implementation of these -- of the tariff amendments as a positive development. The customers are also adapting to the tariffs. And we've seen slight impact, but normally, we see this happen in every price adjustment. There is a slight impact and the customers get used to it. And we will see this -- we'll be in a better position to comment on this as the price adjustments unfold in this quarter. So by the end of this quarter, we'll actually be able to give a more definitive answer as to what has been the impact. But so far, we've seen revenue acceleration in quarter 4. We've seen some impact of titrating of consumption by customers. The real impact will be felt in this quarter, as the pricing impact in last quarter was about 4 to 5 weeks, as you just said. Now on your next question on the IPO. See, on the IPO, let me just talk about two things. The first is, if you look at our Airtel Money is a great business that continues to deliver exceptional performance with consistent year-on-year growth in the range of about 25% to 30%. The business remains highly profitable with exceptional cash flow generation, which reflects the strength of our model and operational excellence. We firmly believe that listing Airtel Money is the right strategic path forward. We are making strong progress in our IPO preparations and remain firmly committed to this objective, while maintaining flexibility in response to evolving financial conditions, subject to market dynamics, we anticipate, as I said, a potential listing in the first half of calendar '26. Now specifically on our minority investors, we continue to have constructive and transparent engagement with our strategic investors. There is a shared understanding that the business is doing exceptionally well, and that aligning the IPO with the growth trajectory targeted for the first half of 2026 serves the best interest of all stakeholders. We are collaboratively working towards -- working together towards this common objective is how I would like to put it for -- to answer your question.
Jaideep Paul: Yes. On the question of lower fuel price sensitivities in Nigeria, so let me just put forward two things. One, the diesel is currently stabilized between NGN 1,050 to NGN 1,100 a liter, and it is more or less stable at that level, right? So if the diesel price further that goes down, obviously, that benefit will be passed on to us because it's -- most of the cases, it's a flow-through or pass-through. Roughly 35% of our overall OpEx in Nigeria is relating to this energy cost. Also to add that our original strategy of alternative source of energy, like solar, battery, increased battery, those projects are also undergoing. And as we complete during the year, these projects, those benefits will also start coming in. So if diesel price even remains stable and we are able to execute our alternative source of energy strategy, we can definitely see some benefits coming in the P&L of Nigeria.
Operator: The next question we have is from Rohit Modi of Citi.
Rohit Modi: I have three -- two, please, actually. Firstly, just a follow-up on Nigeria price hike. Can you confirm that you have -- you do have a bandwidth to have further price rise, taking into account your 50% cap, but I think you haven't done all 50% so far. So you do have a bandwidth, if you can confirm that. Second is on your CapEx guidance. And I remember, Jaideep, last year you mentioned there was $40 million of data center CapEx that have been deferred to this year, which seems to be like deferred to now next year. But then if I look at absolute numbers of Nigeria, there's still a bit of a decline -- major decline in Nigeria CapEx. How do you look at your Nigeria CapEx intensity going forward? How you are pleased with your capacity and networks in Nigeria as of now?
Sunil Taldar: Yes. See on Nigeria price increase, we have passed on the price increase, which has allowed -- price adjustment that was allowed by us -- to us by the regulator to the extent of -- to the maximum extent possible. So -- and this -- the impact of this price increase, as I said, some portion of that has been realized in the last quarter. This quarter, the real impact in terms of the revenue acceleration, also the customer impact, we'll be in a better position to talk about. Now the next price adjustment, our expectation or our ask from the regulator was almost 100% price adjustment, given the volatility that we've seen in that environment, both with respect to price increase, also with respect to currency challenges that we face. Having said that, the next price adjustment that we will get is a little time away. We will not be able to comment on this at this point in time. So that's on the Nigeria price increase. But whatever price adjustment that we were allowed has been passed on to the -- has been passed on. Now coming on the -- coming to the CapEx. See, the -- with respect to the volatility that we've seen in the macroeconomic environment did require us to evaluate our CapEx spend given the uncertainty across the market. Now with a particular focus on directing CapEx to ensure a maximum return on that investment. However, there were other areas which contributed to lower spend. During the year, there was an increased focus on efficiencies through negotiations with our CapEx vendors. In addition, there was an increased focus during the year on rollout of lean sites in our urban areas and top 5 towns, given the need for infill sites, but these are -- to provide better capacity and wherever -- and further coverage holds. Now, on Nigeria, we have -- in terms of -- see, the other aspect of our CapEx investments is more on need base. So in terms of need, whatever the need in the business was from the radio side, or backhaul or transmission, those CapEx investments have been made in Nigeria, which is what we are seeing in the total of $670 million of capital investment that we saw last year. We have enough capacity and enough network has been deployed to meet the rising demands of our business or customers in Nigeria. And we remain committed to providing the best-in-class experience and also drive further usage of voice for data and expand our coverage, so that we remain ahead of demand, and we continue to drive usage in Nigeria. So there is by no stretch, this CapEx has been in terms of both capacity or CapEx investments, will kind of impact our growth rates going forward.
Operator: The next question we have is from Maddy Singh of HSBC.
Madhvendra Singh: I have two short ones and a follow-up. The first question is on your performance in East Africa, which was actually very strong. So wondering if you could spell out the drivers behind it. And specifically talking about Uganda, where there was an MTN cut, what kind of impact did you have from that? And did that have a role to play in the overall strong East Africa performance? Then the second question is on your buyback. I understand your first tranche is completed. So if you could talk about your procedural requirements, if any, to resume the buyback, basically start the second tranche. And do you need like any further approval from anywhere or any one, Board or at all? If you could talk about those things. And is share buyback going to be a, let's say, a permanent feature in the shareholder remuneration or the current plan is more ad hoc dependent on the share price. So that's the second question. And on the third question and the follow-up on the IPO delay. If you could talk about your thinking like what chances do you think is there that your investors, TPG and et al., will exercise the put option. And in case they do, do you have options at your hand to handle that? What are the options? If you could discuss scenarios there?
Sunil Taldar: Thank you very much for those questions. What I will do is I'll take the first and the third question, and then hand over to Jaideep on the share buyback. And if he has anything to add on the IPO, over and above, whatever, I would say. So reflecting on East Africa, East Africa is a very strong business for us, and this business has been consistently performing well over the last few years. We have a very strong presence across both GSM as well as mobile money. Our execution in this market has been very, very strong. We continue to make -- we've a very strong network, and we continue to make very smart investments in network in East Africa across all the markets. And that is what is driving our continuous, consistent performance, and this remains a very, very important area of focus for us. And we will -- as we have seen in the recent past, it's been a very strong performance. With respect to your specific -- and one of the inflation is also a very strong base growth that we have, which is a reflation of this performance also should continue. Now if you look at -- coming to your specific question on Uganda MTN adjustment, MTN -- on our overall performance in Uganda or in East Africa, therefore, the MTN has not had much of an impact. Actually, it's a very insignificant impact because it's been predominantly on-net market. So MTN has not had much of an impact on the overall performance of East Africa. Moving on to your question on IPO. I will just repeat a little bit of what I just said, but try and address your specific query. See, given that the minority shareholders have been closely involved in the process and is aware of both the progress being made towards an IPO and the strength of the underlying business, we believe they are unlikely to exercise the put option. That said, should the need arise, Airtel Africa has a strong balance sheet that can easily meet this -- meet put option obligations without compromising our growth strategy or capital allocation priorities. We also have ample debt capacity and can access financing quickly if required. In case the put option is exercised, our expected payout is capped at approximately $550-odd million.
Jaideep Paul: And just to add what Sunil said on this, keep in mind that if this -- in the unforeseen event or unlikely event of this put option gets triggered, this is a temporary phenomenon, because those shares on a prorated basis to the extent of the put option value, those shares will be coming back to the majority shareholder, which is Airtel Africa Plc. And then those shares are available to sell-off during IPO and pay back the debt, which, if at all, it is required to be taken. So it's a temporary phenomenon, which can happen. We have enough flexibility and headroom available to fund that kind of scenario. But as we said that at this moment, it seems unlikely, but we are also parallelly ready. On the share buyback...
Madhvendra Singh: Sorry. Jaideep, just a quick follow-up on this one. Is there a technical requirement to do an IPO or simply listing the business?
Jaideep Paul: No, it's IPO. What's the difference between IPO and listing? I mean, it has been listed in the stock exchange...
Madhvendra Singh: In certain market, we can simply just list this, a certain number of shares without actually needing to like selling them in the entire chunk.
Jaideep Paul: No, no, it will be public listing. The IP -- here is what we meant by IPO is a proper public offering. On the share buyback, let me repeat. We have so far done total approval, which we received for $200 million, out of which $145 million have been completed by 24th of last month. The second one, we are in the final process of finalizing the T&Cs. And as and when those are done, it will not take much time, then the second balance $55 million will be launched in the market. What will happen after that, it's a prerogative, which is basically the Board decision. So I will not be able to comment on that at this stage.
Madhvendra Singh: So as of now, share buyback is not really part of long-term shareholder remuneration plan.
Jaideep Paul: So as I said that the current one we have to complete first. So once we come closer to the completion, obviously, then it will be reevaluated, the whole proposal, and then the final decision will be taken.
Operator: The next question we have is from John Karidis of Deutsche Bank.
John Karidis: I have a question on Airtel Money that has nothing to do with the IPO, if I may. To me, Airtel Money remains a bit of a black box in terms of which country contributes what proportion of its business. So I wonder if it's possible for you to sort of paint a picture of the sort of key contributors by size, please? And maybe just a sentence or two per market in terms of competition and the degree to which the market is mature or still developing?
Jaideep Paul: Okay. Before Sunil comes in, let me call out, if you refer to Page #17 of the trading update, the RNS, you can see the region-wise breakup, at least you have a fair sense of how this $1 billion revenue is constructed. But for everybody's ease of understanding, about $750 million is in East Africa, about $240-odd million in Franco Africa. Nigeria is very small. It's just $4 million. As you know, that we just started the PSB business. But that's the breakup of the full year revenue of about 900 -- almost $1 billion revenue. So that's -- so it is largely East Africa and some part of Franco Africa.
John Karidis: Within each region, there are a bunch of countries. So maybe we could do it on it by country, please? Because I think 2 or 3 countries are much, much bigger than others. So if you can help us with that, that would be great, please.
Jaideep Paul: I mean, sorry, we don't give -- even in GSM side also, we don't give country-wise data specifically. But I'm sure Sunil will give you some color to the East Africa portfolio.
Sunil Taldar: Yes. Thanks, Jaideep. As Jaideep said, we do not provide country-level numbers. The numbers that we provide is at a market segment level. I will refer to the comment that you made that Airtel Money remains a black box. We've given the market segment numbers to you, but I will very quickly highlight the opportunity that we have in Airtel Money. If you look at 27% of our customers, roughly, I'm just rounding it off, 26.8%, 27% of our customers are Airtel Money customers, which basically means more than 70% of our customers, there is a headroom for growth. So that's a one penetration opportunity that we have. The other thing that we spoke about, which is the -- there are two things that is happening in the Airtel Money business, which gives us confidence that this revenue momentum that we have should remain sustained. The first is, there is a -- the increase in transaction value at an overall level, which is a function of both when the new customers come in and the existing customers, they increase their overall transaction level, which is driven predominantly by increase in the use cases, which is from deposits or peer-to-peer transfer to, as I said, withdraws to merchant payments, enterprise and other financial solutions. So from an opportunity point of view, it is -- there is still a very large opportunity. There is a very large penetration opportunity. There is a very large depth opportunity as customers continue to expand their use cases. And at an overall Africa level, financial inclusion remains a very, very large opportunity, which is what we are focused on. Market segment-wise numbers is what we've shared with you, which is what Jaideep alluded, I'm afraid this is -- we don't share numbers at a country level, but I guess you have a fair idea looking at the market segments, plus the penetration that we spoke about.
Operator: Next question we have is from Simran Khanna of Ashmore.
Simran Khanna: I just had a few questions on -- we've seen in April some of your competitors have cut down their tariff hikes to maintain competitiveness. Do you see this impacting your customer base? Maybe a bit of insight in Nigeria as to like have you seen any churn in the lower income segments based on the hikes? And maybe your expected ARPU trajectory in Nigeria over the next few months due to the tariffs.
Sunil Taldar: Sure, there was this earlier question that we were responding to. I will try and add a little more color to the -- or texture to what we just said. The tariffs were -- the price adjustment was introduced in the later part of last quarter, so about 4 to 5 weeks of impact is what we've seen. And therefore, it is too early to conclude on the overall elasticity impact for this traffic adjustment. Normally, when we roll out tariffs, but these are unprecedented circumstances, there is lots happening in the macro environment. There is also this price adjustment that has gone in. So what we normally see is there is a little bit of a reaction that happens from the customers. At the top end of the market, which is largely about 70% or bulk of the market, those are inelastic customers, they are price resistant, and therefore, normally you don't see that impact. There is some amount of titrating of consumption that happens at the lower end of the market, but normally in our experience, this is temporary in nature. Now most of the price adjustments that have gone in, this is what we have seen. And the consumption normally comes back, which is the reason I was saying that on this one, we will be actually in a better position. So there is one set of customers where we've seen they remain price inelastic, they remain price resistant. There is -- which is roughly about 70-odd percent of our total revenue contributing customers. At the lower end, which is where there is some impact, normally, this adjustment, where the titrating happens, they come back and we will be in a better position to answer the real impact of price adjustment at the end of this quarter. Now with respect to the ARPU on Nigeria, I just -- we've seen Nigeria ARPU improved from $1.8 in quarter 3 to $1.9 in quarter 4. So we've seen -- and on a Y-o-Y basis, it's about a 34% growth. Even on voice, if you look at, we've seen $0.9 to $1. Now if this voice ARPU was a little bit of a kind of a signal to what's happening at the lower end of the market, it's a relatively better or a healthy sign, but we'll have to wait and watch to be a little more conclusive as to what a 50% price it has been done -- does to the consumption as far as the customers are concerned.
Operator: We have no further questions on the conference call. And I would like to hand over to Alastair for any webcast questions.
Alastair Jones: Yes, just a few that we hadn't address to highlights. The first one is just on Nigeria, in particular, network capacity utilization. Any comments on how our network is performing there? Any concerns around capacity on the network, given a slight reduction in CapEx in Nigeria? And related to that, any details or information you can provide on the infrastructure sharing arrangement that we announced with MTN and how that potentially could impact CapEx or OpEx. That's the one thing. And then the second one is just on talking about partnerships as well with SpaceX. We announced something recently, if you could give any sort of clarity around the logic behind that.
Sunil Taldar: Sure. So the first question, which is on Nigeria. Nigeria is a very important market for us, and we remain very excited about the growth opportunity or the potential that this market has to offer, for both voice, data, enterprise and home broadband categories, and money, of course. So all these categories, it's a very, very large opportunity for us. And we continue to make our investments to ensure that we are making right investments to support our growth ambitions in Nigeria. Our capacity, we had enough capacity in Nigeria to support our growth ambitions. And so far, in terms of our customer experience, we have made massive investments, one is in network be in our technology and network and digital tools to be able to understand if there was any area or any part of the market where there is any stress on customer experience, we are able to proactively, and I want to underscore this point, proactively address that customer experience issue. Because as far as we are concerned, customer experience or delivering customer experience is at the front and center of everything that we do. So as far as Nigeria is concerned, the recent -- the capital investment that we are seeing is by no stretch an indication of us pulling down investments in Nigeria. And you will see that as we continue to support data or voice consumption in that market. So this is from the question on Nigeria. With respect to MTN and Airtel, we entered into a partnership agreement with MTN for network sharing in 2 markets, which is Nigeria and Uganda, driven to extend digital and financial inclusion across Africa. And we're exploring similar partnerships with other operators as well. These sharing agreements target improved network cost efficiency. So that is definitely one objective. Expanded coverage and provision of enhanced mobile services to millions of customers, particularly in those remote areas where we do not yet fully enjoy the benefits of modern connected life. Now this is a move towards building common infrastructure within the permissible regulatory framework to provide a more robust and extensive visual highway or drive digital and financial inclusion at the same time. What we are trying to achieve here is, one is to avoid duplication of investments of expensive infrastructure. And most importantly, the other objective is to build resilience in our network, and this is important for both us and MTN, so that our operational efficiencies improve. So there is this attempt to avoid duplication of investments. There is an attempt to -- so that we get better efficiencies out of our investments, provide better experience by building resiliency in our network, and to be able to expand network in areas which probably otherwise would have taken a little longer for all of us, to go there faster and make sure that we're serving the underserved. So that really is the objective for this agreement that we've signed with MTN in Nigeria and in Uganda. Now with respect to Starlink, the agreement that we've signed with Starlink is the agreement will help us to serve the underserved in remote locations where there is no network or the cost of building network is very, very high across all geographies. Currently, Starlink has a license to operate in 9 out of our 14 OpCos. Further, this will also improve the transmission to the site and thereby our ability to serve our B2B customers as well because it is both for backhaul, as well as for wholesale or selling to our -- or reselling to our B2B customers. So that really is the objective of this agreement with Starlink.
Alastair Jones: Great. And then one more question. Just I think you've already addressed it, mobile money, are we expecting any acceleration in growth and improvement in margins in mobile money performance. It's been very strong. Is there any scope for further acceleration in that business?
Sunil Taldar: See, if you look at mobile money, as I said, there's a huge opportunity. We currently have more than 70% of our customers who are not on mobile money. So that is one opportunity. Africa remains a very, very large market from an opportunity point of view on mobile money penetration, that is the other large opportunity that we have. And from a growth acceleration point of view, which is where our focus is, as we continue to drive 4G penetration in our markets, we will also drive the multiplicity of use cases with our customers. And as our customers use mobile money for more than 1 or 2 use cases, their ARPU grows. So from an opportunity point of view, there is a massive opportunity, and we have very clear plans to accelerate growth on mobile money. And the good thing about this business is, the growth -- the translation from top line to bottom line is very strong, which is something that we see in the EBITDA and the cash generation on the mobile money side. So it's a very, very strong opportunity and a business that we have, which is also reflected in our consistent performance of close to 25% to 30% growth in the last 5 years -- CAGR of 30% in the last 5 last years.
Alastair Jones: Great. I think that's all. Any closing remarks, Sunil?
Sunil Taldar: Yes, if there are no further questions, I would like to thank each one of you for joining us today. Thank you very much.
Jaideep Paul: Thank you.
Alastair Jones: Thank you.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.